Operator: . Good morning. My name is Brandi, and I will be your conference operator today. At this time, I would like to welcome everyone to the Waste Management Third Quarter Earnings Release Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Ed Egl, Director, Investor Relations. Sir, you may begin.
Ed Egl: Thank you, Brandi. Good morning, everyone, and thank you for joining us on our third quarter 2011 earnings conference call. With me this morning are David Steiner, Chief Executive Officer; and Steve Preston, Executive Vice President of Finance, Recycling and Energy Services. David will start things off with a summary of the financial results for the quarter and a review of the details of our revenue growth, including price and volume trends. Steve will cover operating costs and the financial statements. We will conclude with questions and answers. During their statements, any comparisons made by David and Steve, unless otherwise stated, will be with the third quarter of 2010. Before we get started, let me remind you that in addition to our earnings press release that was issued this morning, we have filed a Form 8-K that includes the earnings press release as Exhibit 99.1 and is available on our website at www.wm.com. The Form 8-K, the press release and the schedule for the release include important information that you should refer to. During the call, you will hear certain forward-looking statements based on current expectations, opinions or beliefs about future periods. Such statements are subject to risks and uncertainties that could cause actual results to differ materially. Some of those risks and uncertainties are detailed in our earnings press release this morning and our filings with the Securities and Exchange Commission, including our most recent Form 10-K. Additionally, during the call, David and Steve will discuss our results on an as-adjusted basis including revenue; net income; earnings per fully diluted share, which they may refer to as EPS; interest expense; operating expenses; SG&A expense; and expenses as a percent of revenue. These financial measures have been adjusted for items management believes do not reflect the fundamental business performance or are not indicative of our results of operations. All these measures, in addition to free cash flow, are non-GAAP measures. Please note that our financial results, as well as the projected EPS, free cash flow and all other forward-looking statements, except those specifically pertaining to Oakleaf, do not incorporate any benefits or costs associated with our recent acquisition of Oakleaf or Oakleaf's operations. Please refer to the reconciliation to the most comparable GAAP measures in the Form 8-K and the earnings press release footnote and schedule attached thereto, which can be found on the company's website at www.wm.com. This call is being recorded and will be available 24 hours a day beginning approximately 1 p.m. Eastern Time today until 5 p.m. Eastern Time on November 10. To hear a replay of the call over the Internet, access the Waste Management website at www.wm.com. To hear a telephonic replay of the call, dial (800) 642-1687 and enter reservation code 96225430. Time sensitive information provided during today's call, which is occurring on October 27, 2011, may no longer be accurate at the time of a replay. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Waste Management is prohibited. Now I'll turn the call over to Waste Management CEO, David Steiner.
David P. Steiner: Thanks, Ed, and good morning from Houston. I want to welcome Steve Preston on his first earnings call as our Executive Vice President of Finance. As you know, Bob Simpson retired on September 30, but he worked hard up to that day to make the transition a smooth one. We all miss Bob, of course, but we're excited to welcome Steve to the team. Welcome, Steve. We're pleased with the results of our operations for the third quarter, as we overcame a number of headwinds from a sluggish economy, $0.01 of negative impact from Hurricane Irene on the East Coast and continued investment in our growth initiatives to produce $0.63 of diluted earnings per share in the quarter. We took a lot of costs out in the quarter, and we will continue to attack costs. However, we'll also continue to focus on our long-term cost and revenue initiatives, because in a slow growth environment, those initiatives will help to drive earnings improvement. Revenue for the third quarter increased by $181 million or 5.6% from the prior year period. This is the seventh consecutive quarter of positive year-over-year revenue comparison. We achieved this despite the third quarter of 2010 having benefited significantly from the Gulf Coast cleanup effort. Excluding Gulf Coast volumes from the comparison, volumes would have been down only 0.3%, which was the best performance we've seen in years. Higher commodity prices, improved recycling volumes, acquisitions, year-over-year internal revenue growth from yield and surcharge increases all contributed to the revenue growth. Internal revenue from growth from yield on our collection and disposal operations was 1.6% in the quarter and is at 2% year-to-date through September 30. The quarter's result is consistent with our results in the second quarter of 2011, demonstrating our continued pricing discipline. The combined internal revenue growth from yield at the industrial, commercial and residential lines of our collection business was 2.1% in the third quarter. Commercial and industrial yields were 3% and 2.2%, respectively. IRG from yield in our residential line of business was 0.8%. We continue to meet with municipalities that are seeking concessions and we're working with them to change service levels, extend contracts or offer value propositions that would benefit both the municipality and Waste Management. These are good business decisions, but they've negatively impacted our residential and our overall yield. In the third quarter of 2011, we saw improvement in our price rollbacks as they returned to more normal levels after a spike in the second quarter. We maintained customer churn at about 10.7% in the third quarter, a 10 basis point improvement from the same quarter in the prior year. We need to continue to focus on retaining our customers, and we expect our churn rate to improve into 2012. On the landfill yield front, the special waste and C&D waste streams had the sixth consecutive quarter of positive internal revenue growth from yield. In recent months, we've increased our environmental fees as our environmental costs continue to rise. We've also continued our general price increase program, and those actions will be reflected in our fourth quarter yield results. However, a change in contract pricing at one of our waste-to-energy operations in South Florida will have between a negative $5 million and a negative $6 million impact on yield in the fourth quarter. Excluding this from our yield calculations, we expect our fourth quarter results to bring us very close to achieving 2% yield for the full year. On the volume side of the business, internal revenue growth from volume declined 2% in the quarter. If you exclude the volumes associated with the Gulf Coast cleanup efforts in 2010, IRG from volume declined only 0.3% in the quarter. Our commercial collection line of business saw a year-over-year IRG from volume decline of 4.1%, and the residential line of business saw a 3.4% decline year-over-year. Both of these collection lines improved sequentially from the second quarter and are the best IRG volume results that we've seen in 2011 for these business lines. Industrial IRG from volume declined by 2.9% on a year-over-year basis, which is an improvement from the second quarter of 2011. So collection volumes are improving but not as fast as volumes from recycling, which on an organic basis, grew 8% year-over-year. If we include recycling volumes we obtained from acquisitions, our recycling volumes have increased 14% year-over-year. As you know, customers are becoming more interested in diversion and we have a growing network of MRFs to support this demand. We will continue to invest in recycling assets to better meet our customers' needs. In the landfill side of the business, third quarter 2011 internal revenue growth from volume improved by 1.5% compared to the third quarter of 2010. IRG from volume for special waste was positive 3.6% year-over-year. IRG from C&D volume declined 0.4% and MSW volumes declined 4.8% year-over-year. The MSW internal revenue growth from volume improved 270 basis points from the second quarter of 2011. Income from operations in the collection line of business improved 2% in the third quarter when compared to the same quarter last year. This was our highest third quarter income from operations and our highest margin in the collection lines of business in more than 6 years. We increased our income from operations despite lower volumes by flexing costs and maintaining our pricing discipline. In our waste-to-energy line of business, income from operations declined $10 million, primarily related to the expiration of a long-term power capacity agreement in our South Florida market. In the fourth quarter, we expect income from operations in our waste-to-energy business to be flat when compared with the fourth quarter of 2010. Our position as a leader in the North American recycling business continues to be a strength in 2011, with increased commodity prices and volumes contributing about $0.05 of positive year-over-year earnings per diluted share in the third quarter. Commodity prices have increased approximately 29% and recycling volumes, including acquisitions, have increased approximately 14% when compared with the same quarter last year. In the fourth quarter, we expect commodity prices to decline modestly from their current levels and we expect earnings per diluted share from recycling to be about flat compared to the fourth quarter last year. As you may recall, recycling prices in the fourth quarter of 2010 remained strong throughout the quarter. But we expect 2011 to be more in line with long-term historic trends, with commodity prices showing a seasonal downtick in the fourth quarter. We saw the beginning of that seasonal downtick in late October. The integration of Oakleaf into our company is progressing as we expected. Since the acquisition, we've closed on several new business opportunities and expanded some existing contracts. We're continuing to work with the customers and the third-party hauler network to ensure a smooth transition. Our relationship with the third-party haulers is strong and we're working with them to find solutions that will benefit customers, haulers and Waste Management. With the holiday season upon us, customers want to ensure that any service transition will not interrupt their seasonal business. So the integration will slow somewhat over the holiday season and will speed up beginning in the first quarter of 2012. Consequently, we should see the benefits from the Oakleaf acquisition begin to ramp up in the second quarter of next year. In the third quarter of 2011, we saw the best volume performance we've seen in sometime, which is encouraging. However, we need to see further strength in our MSW and commercial lines before we can be comfortable that this is a sustainable trend and that we'll see positive year-over-year volume comparisons. So for the remainder of the year, we expect volumes to follow the same pattern as the rest of the year, at about negative 1.5% to negative 2%, which makes it important that we maintain our focus on costs and pricing. By doing so, we still expect to achieve full year adjusted earnings of between $2.14 and $2.18 per share -- per diluted share. And with that, I'll turn the call over to Steve.
Steven Preston: All right. Thank you, David. It's great to be here. It sure beats competing against Waste Management. I'm also looking forward to meeting many of you on the phone in the near future as I get out on the road. So I'm going to give an overview of our costs and our cash flows, and then we will open the line up for some questions. Our operating costs increased by $172 million in the quarter to 63.2% of revenue. The biggest contributor was cost of goods sold, which increased $92 million in the quarter, mainly because of rebates to recycling customers due to higher recycling commodity prices and volumes. Direct fuel costs increased about $39 million. That was primarily because of a 32% increase in price per gallon of diesel fuel. And in the third quarter, the fuel surcharge revenue actually offset the higher cost of the fuel completely. Labor costs increased $21 million in the quarter, primarily related to merit increases. Tuck-in and other acquisitions contributed about $17 million to the increase in foreign currency translation for our Canadian operations accounted for an increase of about $7 million. We also achieved approximately $28 million of benefit in operating expense in the third quarter from the actions that we took to reduce discretionary spending and eliminate positions, as well as from the expanded rollout of our procurement initiatives. We expect to see an increasing benefit from those initiatives in the fourth quarter, even more so, going into 2012. SG&A costs in the third quarter were flat year-over-year but improved as a percentage of revenue by 60 basis points to 10.8%, despite the fact that we spent about $10 million on those procurement and cost reduction initiatives. Our third quarter of 2011 was affected by several special items that were identified in our press release. As we normally do, we have adjusted for asset impairments and restructuring costs. We also excluded the accounting impact on our environmental remediation obligations due to changes in the 10-year Treasury rate, which have declined from 3.5% to 2.0%. And finally, last year, we excluded the negative impact of creating a $28 million closed landfill remediation reserve. So in the third quarter, we also excluded a $9 million benefit from reducing that reserve when a lower cost remediation was selected by the EPA. And as we mentioned on the second quarter conference call, we also adjusted for Oakleaf integration costs and operations. Interest expense for the third quarter decreased $9 million compared with the prior year period, primarily due to the improved pricing of our $2 billion revolving credit facility, which was amended in May of 2011. And also, at the end of the quarter, our average -- weighted average cost of debt was 5.3%. Our debt to total capital ratio for the quarter was 60.5%. That was consistent with our target ratio of 60%, and the floating rate portion of our total debt portfolio was 17% at the end of the quarter. Our income tax rate, as reported for the third quarter of 2011, was 32.3%. The reduction in our third quarter rate is primarily due to audit settlements and adjustments from filing our 2010 income tax return that benefited our EPS by about $0.02 a share. For the full year, we expect the recurring effective tax rate to be approximately 35%. Turning now to cash flow. Third quarter 2011 net cash provided by operating activities was $659 million. In the third quarter of 2010, we received a federal tax refund of $65 million. So if you exclude that item, net cash provided from operations increased $47 million or 7.7%. Our capital expenditures for the third quarter were $313 million, leading us to a free cash flow for the third quarter of $372 million, which was $52 million less than the prior year. That was largely due to an increase in CapEx of $51 million, as well as the $65 million federal tax refund we received in 2010. We still expect our free cash flow for 2011 to be about $1.25 billion. In the third quarter of 2011, we paid $158 million in dividends. We also repurchased $360 million worth of our common stock, continuing our long-standing emphasis on returning cash to shareholders. In October, we also repurchased an additional $47 million of common stock to complete our board-authorized share repurchase program for 2011 of $575 million. And finally, we completed approximately $488 million in business acquisitions, including Oakleaf, during the third quarter. So in conclusion, we are entering fourth quarter with a stable price and volume environment, solid momentum in our procurement and cost reduction initiatives, as well as good progress on the Oakleaf acquisition. So with that, Brandi, let's open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Hoffman with Wunderlich.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Welcome onboard, Steve. On the recycling price issue, it would appear that 2012, we're not going to fall of a cliff but in all likelihood, prices will probably average lower than they have in 2011. Can you talk about any kind of a metric that you have, a $10 move equals what or -- to think about what that headwind will look like going into 2012?
Steven Preston: Yes, if you look at recycling prices -- and obviously, it's driven by fiber but a $10 movement in fiber prices equates to about $0.01 a year.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay, equals $0.01. All right, that's great. And then on the free cash flow side, the word about -- I mean, it makes me think of the people in New England using the word "yonder" and it means around the corner or 20 miles, how do we think about what about is as you think about the free cash? And more importantly, to make $1.25, either you're going to have one heck of a cash from ops number, which sounds like a big working capital shift or you spend less money. How do we get there based on where you are year-to-date?
Steven Preston: Yes. Well, we certainly have some hard work to do to hit that $1.25 of target but we do believe it's achievable. It's, certainly, Michael, not in the bag. We're going to have to be very focused, I think, in the fourth quarter on managing working capital, as well especially focusing on capital expenditure. So I think it's going to come from a number of places, but we're really going to have to focus on every one of them to bring that number over the line.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: But do you stay with your budget of $1.35 million in CapEx, given that you've got 100% bonus depreciation this year and maybe not next year?
Steven Preston: I think we stay with our budget of $1.35 million for the time being although we're -- the fourth quarter is a big quarter for CapEx. We're looking very hard at the entire list of expenditures that we're expecting to make this quarter and making sure that every $0.01 we put out there is well spent. So there's certainly an incentive to do it this year because of bonus depreciation, but I think we're also going to be very circumspect in what we -- in the amount that we spend.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. And then there was a slide presentation you all did recently at a conference. It's Slide 19, and it showed a cost saves and then sort of a second half, the benefit. And basically, the conclusion was between the third full quarter and the fourth quarter, there ought to be a $0.05 improvement. Are we going to still see that $0.05? And that means then, it's a $0.68 number in the fourth quarter for earnings?
Steven Preston: Well I think there are a number of moving pieces there. I think in terms of the cost improvement, we still expect to see strong sequential improvement between the 2 quarters and that's going to come really from a number of areas. When you look at that $0.04 to $0.05 to the $0.09 to $0.10 from third to fourth quarter, that includes a number of components, right? It includes the revenue improvement initiatives that some of which David went through. The environmental surcharge and the price increases includes the labor reductions that I mentioned. It includes the procurement initiatives. So there are a number of different pieces that go in there. And so I think every one of those components is actually going to see some sequential strength from third to fourth quarter. Now some of that is going to -- from a year-over-year basis, it's going to be somewhat offset by the commodity pricing that you mentioned because we had a strong benefit from commodities in the third quarter. Fourth quarter to fourth quarter, we're going to see less of that. So to an extent, some of that benefit we're seeing on the cost side is going to be -- is going to serve to offset the commodity price benefit we got in the third quarter.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. So that slide should be revised, and it shouldn't be $0.05 improvement sequentially then.
David P. Steiner: Michael, it's probably not a full $0.05 because remember, as Steve said, that's both cost and revenue. We're probably $0.01 behind, maybe $0.01, maybe $0.02 behind on that, mainly coming from our growth initiatives. But then, as Steve mentioned, we got a $0.05 benefit in the third quarter from recycling. We don't expect to get a $0.05 year-over-year benefit in the fourth quarter.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: That's fair enough. I just want to understand how the numbers should play out as far as the model. And then the tax rate, if you're going to do 35% for the year, that means fourth quarter has to be much higher. What are you using for your fourth quarter to get to the 35% for the year?
Steven Preston: Right. So the 35% for the year was sort of -- I think the words I used were the recurring tax rate. What we were trying to do is basically say the base tax rate that we're looking at is $35 million [ph]. But periodically, as we announced in the quarter, we have adjustments that would have stacked that number. So in the fourth quarter -- right now, if you look at that 35%, that would not assume any of those adjustments but I don't want to call that yet. We may have somewhat of an impact from fourth quarter tax adjustments. But at this point, that's -- think of that as more the recurring underlying tax rate of the business.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. And then, if BP was $47 million -- or not $47 million, 1.7% in the third quarter, what is it in the fourth quarter?
David P. Steiner: It's about 80 basis points in the fourth quarter.
Operator: . Our next question comes from the line of Hamzah Mazari with Crédit Suisse.
Hamzah Mazari - Crédit Suisse AG, Research Division: The first question is just on pricing. Were you expecting pricing to accelerate relative to the second quarter? And then, maybe if you could just comment on where you're seeing increased competition, in which market? And is the pricing headwind all due to these resi contracts? And maybe just touch on how aggressive you're being on the landfill side.
David P. Steiner: Yes, when we look at pricing, from a competitive point of view, I think we see a fairly stable pricing environment. Look, in a slow economy, I'd rather see that stable price environment where it was 3 years ago in a great economy, 3%, 3.5%. But in a slow economy, you'd expect there to be a little more competitive reaction and we've seen that but it hasn't been anything dramatic. So when we look at the third quarter, most of the pricing actions that we took, the raise in the environmental fee and moving up price increases, most of them occurred throughout the quarter so we didn't get the full benefit in the third quarter. We certainly will see that uptick in the fourth quarter. So in the third quarter, it was offset a little bit by residential pricing, both CPI and price rollbacks that we've had to put in to maintain contracts. But again, those are good decisions. We're going to take the right pricing actions to maintain the right business. And so we continue to have rollbacks albeit at a much lower level than in the second quarter. We continue to see residential pricing a little bit weak. So that was the headwind in the third quarter. In the fourth quarter, again, we've got that one big contractual headwind in South Florida from our waste-to-energy plant. If you exclude that, we would expect to see improvement in the fourth quarter on the pricing side.
Hamzah Mazari - Crédit Suisse AG, Research Division: And just on the landfill side, what are you guys pushing through on price right now and how much additional running room do you think you have there?
David P. Steiner: Yes, I think we have a lot of additional running room. Basically, if you look at the overall landfill pricing, it's up about 1.3%. But we still have plenty of room to go there.
Hamzah Mazari - Crédit Suisse AG, Research Division: And just on Oakleaf, how much -- how should we think about that business in terms of what it's generating right now on EBITDA? You said you can bring that up to $80 million of EBITDA. How long does that process take? What is the business generating right now and what do you have baked into your guidance for Oakleaf?
Steven Preston: All right. So Oakleaf right now, I think, was about a cost of $0.01 a share in the quarter. And that is really the mixture of fully unintegrated Oakleaf plus any integration costs associated with that, as well as higher interest expense. And think of the next 2 to 3 quarters as being heavy integration periods. So I think, in the next couple of quarters, we would expect it to look roughly like we do now. I think some of those integration costs are going to hit sequentially over the next few quarters. Getting into the middle of next year, we would really begin to see -- we expect to see a pretty significant ramp in the benefit from Oakleaf, and that comes from really 2 -- 3 primary areas. Okay? It comes from working with third-party haulers to expand our relationships with them. So that if Oakleaf is giving a hauler business, we have the opportunity, not only to get the disposal work on that particular haul, but to expand our relationship. So it's an important incentive to drive disposal volume to our facilities. Secondly, in a number of the markets, Waste Management will be taking some of that volume and internalizing it. And then thirdly, there is a significant opportunity to consolidate the operational side of the 2 companies we have. Many aspects of what both companies do are overlapping. And as we put those on one platform, we would expect to see the benefit. So as you ramp that up, the next 2 or 3 quarters, we would be sequentially taking some costs to drive that integration. Some of that is going to be for streamlining. Some of that is going to be for equipment that we put out in the field and repair. And then really sort of in the second quarter going through the third, fourth quarters of next year, we would expect to see that ramping. Full year next year, I don't think it's going to be a significant impact. But the run rate coming out of 2012, sort of fourth quarter going into the following year, is when we would expect to really be achieving that full benefit.
Hamzah Mazari - Crédit Suisse AG, Research Division: Got you. That's helpful. And just the last question, on SG&A. On your long-term SG&A target, does that need to change now given the macroeconomic environment we're in, as well as the sort of structural cost takeout that you plan to do? It seems like that's a little behind. Does that need to change or you feel pretty comfortable with that?
David P. Steiner: No. Actually, I feel very comfortable with that but it's going to be driven primarily by technological upgrades. Right? I mean, when you look at our SG&A costs, we have a lot of costs that are out in non-consolidated functions. And so you've got to drive those consolidations with technology. And so I fully expect to see that happen over the next 2, 2.5 years.
Operator: . Our next question comes from the line of Scott Levine with JPMorgan.
Scott J Levine - JP Morgan Chase & Co, Research Division: Welcome aboard, Steve. First question, additional color on pricing. I think last quarter you had indicated that the Southeast, in particular, was challenging, and it was residential municipal that were the areas where you're experiencing the most pressure. And I think you've affirmed that the latter is still true. I was wondering if you could provide any additional regional color with regard to pricing additions across your entire footprint, whether there are any changes versus 3, 6 months ago, perhaps?
David P. Steiner: Yes. I think when you look at our yield being pretty steady the last 2 quarters at 1.6%, the word -- again, the word to use is stability. And so we don't see any sort of unusual pricing action in any particular area of the company. Where we've seen the most pricing pressure has been on the rollback side and then in the residential line. And then you've got -- the South has certainly had struggles. Part of it is down in South Florida with our waste energy plants. A lot of those contracts, a lot of those disposal contracts were long-term disposal contracts. And they happen to be rolling off much like some of our electricity contracts. They happen to be rolling off at a time when the market isn't as strong as it was 4 years ago. If that -- if this contract had rolled off 4 years ago, we'd be in a heck of a lot better shape than we would be today. It just so happens that contract is rolling off in South Florida, and that's going to -- that's going to hit us. But again, if you eliminate that contract from the fourth quarter, we fully expect to see price begin its march back up. And then next year, when you see CPI getting better, we'd expect that to continue. Now again, next year -- every year is harder than the prior year because you've got a lot of different things like fees and surcharges anniversaring. And so we've got to find a way to overcome those.
Scott J Levine - JP Morgan Chase & Co, Research Division: Got it. But again, to reiterate your point on CPI and the impact of CPI on your pricing, your expectation is that will have a positive impact on core price in '12?
David P. Steiner: Should have a positive impact, yes.
Scott J Levine - JP Morgan Chase & Co, Research Division: Got it. And then turning to free cash flow deployment. You guys have been aggressive with the buyback, it seems, in the third quarter. You guys typically make an announcement, I believe, on the dividend in December. Any changes in terms of the thought process moving [ph] into next year in terms of free cash flow deployment or your appetite for acquisitions?
David P. Steiner: No, I wouldn't expect any dramatic shift.
Scott J Levine - JP Morgan Chase & Co, Research Division: Okay. One last question, I think in the operating revenues by lines of business, it looks like your revenues from other had roughly doubled sequentially from $105 million to $210 million. I was wondering if you could remind us of what's in that category.
David P. Steiner: Would that be the Oakleaf revenue? I'm asking our folks here.
Steven Preston: Oakleaf would be about $106 million.
David P. Steiner: Yes.
Scott J Levine - JP Morgan Chase & Co, Research Division: Okay. So that's almost all of it there?
David P. Steiner: Yes.
Operator: Our next question comes from the line of Corey Greendale with First Analysis.
Corey Greendale - First Analysis Securities Corporation, Research Division: First of all, I just -- I wanted to clarify on the guidance, the full year EPS guidance, does that use the $0.63 in Q3?
David P. Steiner: Correct.
Corey Greendale - First Analysis Securities Corporation, Research Division: Okay. And then, I was hoping, David, you might be able to just talk a little bit about what has shifted in terms of your expectations from the last conference call. I don't know if $0.63 was exactly what you were anticipating or not. But just -- if you could kind of quickly touch on price volume, the cost side of it, just what -- and commodity prices, what the moving pieces are in terms of what shifted since last quarter.
David P. Steiner: Yes. When you look at this quarter compared to last quarter, obviously, our -- you've got sort of a double whammy. Right? We've spent a lot less on our short-term and long-term cost and revenue initiatives. So we spent less and we saved more, and you should see that continuing into the fourth quarter. We're going to spend less and save more. So when we looked at third and fourth quarter, we knew we had to do $1.25 just to get to the bottom end of the range. And we knew that, historically, our fourth quarter is slightly down from our third quarter. So we knew we had to have cost savings ramping up, going into the fourth quarter in order to make the year. And I'm pleased to see that that's exactly what happened in the third quarter. So we're pretty comfortable with that range $2.14 to $2.18.
Corey Greendale - First Analysis Securities Corporation, Research Division: Okay. And just on the $0.63. So the -- within the bullet point kind of description in the press release. And you mentioned in the commentary, Steve, there's the benefit of the tax item, and you didn't pull that out of the $0.63. So could you talk about why we should view that as more of a recurring item and shouldn't pull that out of the $0.63?
David P. Steiner: I mean, look, there's absolutely no doubt that we would rather have that $0.02 to be driven by cash-generating items than tax rate. But taxes are what taxes are, right? I mean, they're going to fluctuate year-to-year. So earlier in the year, we paid a higher tax rate because of -- before we have these audit settlements. And so we sort of paid that price in the early part of the year. This was basically just the catchup from the higher tax rate we had earlier in the year.
Corey Greendale - First Analysis Securities Corporation, Research Division: Okay. And one more, I think in your commentary, David, you've mentioned that you think churn will improve going into 2012. Just -- can you give us a little bit more on that why you think churn improved?
David P. Steiner: Yes, look, with churn -- look, the churn rate is driven, as you can imagine, a lot by our rollback rate. And we need to make good, balanced pricing decisions, right? And so when a customer calls up, there's certainly more competitive action out there going after customers. And again, you'd expect that in a lower-volume environment. We need to make the right decisions to maintain those customers and if that means that we have to roll back the price, we're going to look at that piece of business and determine, is it worth rolling back the price or do we let that customer go? And so we're going to put an added focus on that. But look, the reality is that most customers don't leave over price. They leave over service issues. And so as we use technology to improve our service issues, we fully expect that. And as we become an easier company to do business with, we fully expect that to drive down the churn rate.
Operator: . Our next question comes from the line of Al Kaschalk with Wedbush.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: I was hoping, David, you could provide a little bit more detail on your outlook and expectations as it relates to commodity, commodity prices, given it's a little bit greater impact now in your business and what appears to be a little bit more than seasonal volatility in the October prices of OCC and ONP. So I hear you say that there's not maybe headwinds or easier comps over the next 4 quarters, but could you talk about maybe what the drag could be?
David P. Steiner: Sure. And with commodities, you're absolutely right. We're more and more moving toward that in our business, and commodities have become certainly a worldwide market. And so you've got the export market, primarily China, driving a lot of pricing, including driving some of the domestic pricing. And so traditionally, what you see in the fourth quarter is you see the pricing tick down as the Chinese mills start -- they've already shipped a lot of their Christmas goods, and so they're starting to slow down in the back half of the year. So you see the China mills start to slow down, and then you'll see the domestic mills start to slow down. And that's, frankly, exactly what we're seeing today. We're seeing the Chinese mills starting to slow down, and so you're seeing pricing come back in China 15% to 20%. That really hasn't hit the domestic market yet. We fully expect that the domestic market will soften beginning in sort of throughout the November time frame. And then we'll go back into a stable pricing environment as we come out of the new year. That's been the historical trend. Last year, frankly, was the anomaly. Last year, fourth quarter prices stayed strong throughout the fourth quarter. So what we're seeing here is nothing that we didn't expect. We're looking at flat year-over-year earnings. If we continue to see deterioration in the export market, could we have maybe $0.01 impact, a negative $0.01 impact in the fourth quarter? We could, but it's certainly not what we're projecting right now.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Just to clear up here, the fourth quarter or the full year $2.14 to $2.18, are you assuming current prices or what you had at the beginning of the year in terms of average price for commodities? Or how should we think, because I know you said earlier, $10 drop would equate to about $0.01. I assume that's for the full year, but we have seen more than $10 just in each of the past couple of weeks in those markets so...
David P. Steiner: Well, we absolutely have. But what we're looking at -- it depends on if you look at it sequentially, if you look at it year-over-year. When you look at it year-over-year, you've got 2 things: you had strong prices throughout the quarter in the fourth quarter last year; and then we've got more volume. Remember, we grew volume by 14% year-over-year so that helps make up for the earnings on a year-over-year comparison. But you're absolutely right, it goes back to what Steve was talking about earlier. On a sequential basis, you will see weakening in prices. And so you can't just say, "We're going to save money in cost and that gets sequentially added to the third quarter," because you will have a sequential downturn in earnings from recycling. And so those are going to obviously offset each other to make up -- to help us drive that fourth quarter earning.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: And then my follow-up or second question, sort of a 2-parter, if I may, could you comment or provide quantified EPS impact on amortization from Oakleaf transaction? And then secondly, you had talked about, and I know this is in progress, but $100-plus million contribution for the quarter. But what are you hearing from the customers about the ability to sustain the relationship with WM going forward?
David P. Steiner: Yes, actually, the customer relationship part has been very encouraging. We put together a plan, Steve and his group, when we started to look at doing the deal. The very first thing we put together was a plan to get out and meet with the customers and let the customers know that this combination for them is actually going to be very good. What you've got is a combination of the biggest and the best company in the industry from a brokerage point of view that knows where to go to get services. And you've also got the biggest and the best company from an asset point of view on the range of recycling and other assets that can meet those customers' needs. And so as we like to say, the combination made us both stronger and so we're able to better meet the wide range of customer needs. So, so far, the customer relationships have been very good. We've actually expanded business with a number of those customers and added a number of new customers that were in the Oakleaf pipeline. So, so far, that's been spectacular. We're looking forward to bringing that combined service offering to a lot more customers in 2012.
Steven Preston: I think that's right. And just to answer your first question, on a quarterly basis, we're looking at about $7.5 million worth of amortization.
Operator: . There appears to be no further questions at this time. I will now turn the conference back over to Mr. David Steiner for closing remarks.
David P. Steiner: Thank you, Brandi. Thank you, all, for joining us. We'll be seeing you on the road and looking forward to introducing you to Steve. And we won't talk again until 2012. So given that, have a happy holiday season, and we'll see you next year.
Operator: . Thank you for participating in today's Waste Management Third Quarter 2011 Conference Call. This call will be available for replay beginning 1 p.m. Eastern Time today through 11:59 p.m. Eastern Time on Thursday, November 10, 2011. The conference ID number for the replay is 96225430. The number to dial for the replay is 1 (855) 859-2056 or (404) 537-3406.